Will Shu: Good morning and welcome to our 2024 Results Presentation. I'm Will Shu, Founder and CEO, of Deliveroo; and I'm joined by Scilla, our CFO. I wanted to start off by touching on the news from earlier this week. We made the decision to exit the Hong Kong market. I want to thank our former colleagues in Hong Kong for their commitment. This was a very hard decision, but one that is right for the business. Overall, '24 was a really positive year for Deliveroo. We posted year-on-year GTV growth of 6% and adjusted EBITDA of £130 million, up 52% year-on-year. We also hit two very important milestones. We delivered a full year of statutory profit and positive free cash flow for the first time. From a financial perspective, we are a very different company than the one that went public four years ago. We're proud of that transition. At Deliveroo, we focus relentlessly on the CVP and our verticals, and that's driving signs of positive consumer engagement. We are reconfirming our growth and profitability targets that we set out at the CME, albeit on a slightly longer timeline for profitability. We're going to go into more detail in the presentation and why we're confident in achieving these targets, but first Scilla is going to cover the '24 financials.
Scilla Grimble: Thanks, Will and good morning, everyone. Just the point of housekeeping. as you know, we're in the process of exiting Hong Kong. All the numbers in the following slides are as reported, i.e. including Hong Kong, but we've provided some disclosure on an ex-Hong Kong basis were helpful. You'll find some pro forma numbers in the release and in the appendix to this presentation to help you understand the past performance of our continuing operation. And so, onto financial performance. 2024 was a positive year. We hit some important financial milestones, delivering statutory net profit and positive free cash flow for the year, whilst making progress across a number of our growth and profitability levers. GTV grew 6% in constant currency and it was particularly pleasing to see orders returning to growth in the year and to see both segments contributing to growth. Revenue growth of 3% and constant currency continued to lag GTV growth with our planned investments into the CVP having an impact on take rate as we previously called out. These investments were enabled by efficiencies in our delivery network, meaning we've kept gross profit margin stable year-on-year at 10.3%. Adjusted EBITDA was £130 million at the top end of our guidance range with EBITDA margin expanding 50 basis points to 1.7%. We delivered a free cash inflow of £86 million. That does include a sizeable timing benefit in working capital, but if we normalize for that it was still £25 million inflow. And we closed the year with net cash of £668 million. And I'll come on to talk about capital allocation later. Now let's look at our top line metrics in more detail. GTV grew 6% in constant currency, improving from 3% in the prior year, and that acceleration has been supported by good execution as we continue to strengthen our CVP with strong growth in grocery and encouraging early signs from our enhanced Plus loyalty program. While the gap between food inflation and wage inflation narrowed in '24 in our major markets, GTV per order continued to be the bigger driver of GTV growth, up 4% reflecting ongoing, but lower food inflation. Encouragingly, orders return to growth of 2% in the year and that's been driven by improving retention and frequency trends which Will is going to come on to shortly. While we remain cognizant of the continuing uncertainty in the consumer environment in our European markets, Q4 was our strongest quarter for group order growth for over two years. In the UKI, we've continued to perform well with GTV up 7% year-on-year. We finished the year strongly, up 9% in Q4 and within that a particular highlight was order growth improving through the year from flat in Q1 to 1% in Q2, 2% in Q3 and 5% in Q4 as we continued executing well on our initiatives. Excluding Hong Kong 2024, Group GTV growth was 8% in constant currency and 9% for international, and the UAE and Italy continue to be strong contributors to growth, and France was broadly flat in '24. Moving onto revenue and gross profit. The message here is consistent with the half year. We're striking the right balance between enhancing our CVP and driving profitable growth. During the year, we made good progress on levers such as advertising and delivery efficiency, enabling us to make investments into the CVP, be that Plus or price value or grocery, while still holding gross margin flat as I've said. Our advertising business continues to scale, representing 1.4% of GTV in Q4, up from 1% in Q4 '23. And we've made further advancements on delivery network efficiencies enabling us to reduce cost of sales as a percentage of GTV by 90 basis points year-on-year. And I'll come on to talk more about both advertising and delivery efficiencies later. Offsetting the positive impact of advertising was our decision to invest into pricing through targeted promotions to reinforce price perception. We've also invested further in Plus and have seen higher penetration of grocery in the overall mix. Whilst these are dilutive to take rate, they drive what we're ultimately solving for, which is growth in users, GTV, absolute revenue and gross profit. Looking now at marketing and overheads. In '24, we made good headway on operating leverage with marketing and overheads improving by 50 basis points as a percentage of GTV. Marketing was up 1% year-on-year reflecting our investment into retail, which was partially offset by continued improvements to the targeting of our campaigns and performance marketing optimization signals. Overheads were down 1% year-on-year and within that total people costs, including staff costs and contractors were flat with lower average headcount offset by wage inflation. Our non-people costs were down 4% as we reduced our office related expenses and our IT costs. Looking now at our net cash bridge, I've already mentioned it, but I'm delighted that we've delivered positive free cash flow this year, in fact £86 million and remember our definition is pre-interest income and post exceptionals. This did include a sizable working capital inflow as I've mentioned, about £60 million of that was due to the timing of year-end within the week. Free cash flow, once normalized for working capital and excluding exceptionals was £72 million. Looking at some of the component parts of cash flow then, spend on capital items was broadly in line with the prior year with higher CapDev as we invested in key growth initiatives such as the enhancement of our Plus programs and the scaling of retail offset by lower CapEx. Lease payments was £18 million in line with the prior year. Cash tax has increased as profitability has grown, particularly internationally. In addition, as we move to profitability there are restrictions, as I've said before, about how much of the taxable profits can be offset with carried forward losses. So cash tax payments in the future will continue to increase as we grow profits. It can be difficult to correlate the timing of tax payments with the timing of profitability, but we do expect cash tax next year to be in a region of two to three times that this year. The £48 million outflow for exceptionals relates to the cash settlement of some of our legal and regulatory provisions, and cash interest income was £27 million pounds marginally lower than the prior year, reflecting the reduced average cash balance following our returns of capital to shareholders over the last two years. Finally, we bought back shares amounting to £120 million in '24. Within this, we had the £30 million EBT buyback in the first half and about £90 million of the £150 million buyback we announced with interims in August. As of this week, we're about 95% complete on that £150 million buyback. Moving onto look at our capital position, our framework for capital allocation is unchanged. Investing for future growth remains our priority, so we'll continue to ensure we have sufficient capital for our operational and strategic needs. We also need to make sure we have appropriate headroom to deal with unforeseen events and any potential crystallization of liabilities and anything above and beyond that we consider to be surplus capital. Since '23, we've announced the return of £450 million through a combination of the 250 million tender offer and a further £200 million of on market buybacks. So that's the framework and how we've applied it so far. To reflect our confidence in ongoing cash generation, we're today announcing a further return of £100 million by way of an on-market share buyback program. Announcing this return will leave the group with a robust pro forma cash position of just over £500 million. Moving on now to 2025 guidance. For GTV, we anticipate high single digit percentage growth in constant currency, excluding Hong Kong. We remain confident in the growth levers we have in our control and Will's going to take you through these in detail next. As you've seen, GTV growth in Q4 was 9% ex-Hong Kong. So, you may ask, why are we only guiding to high single digits for 2025? The answer is that whilst Q1 trading to date has been good, we recognize that there may be some macro volatility and geopolitical uncertainty in Europe this year. Specifically in the UK, we're also waiting to see if our partners pass-through increases in both the National Living Wage and National Insurance to consumers. For adjusted EBITDA, again, excluding-Hong Kong, we expect to be in the range of £170 million to £190 million. We see exciting opportunities to accelerate growth going forwards, and in '25 we're making some targeted investments to capture this growth. Again, Will's going to go into these in more detail later, but they include pushing harder in geographic areas where we believe we can develop a big CVP differential and unlocking new occasions to expand our existing categories. So that means our in-year margin progression will be slower than in future years. Finally, for your models, it's worth mentioning that our progress on profitability means we're now fully in scope for UK digital services tax in 2025. That's treated as an offset to revenue and we expect it to be a drag of about 15 basis points to take rate and margin in '25. And with that, I'll hand you over to Will to talk you through those growth plans.
Will Shu: Thanks, Scilla. Now let's move on to how we're continuing to grow the business profitably. I wanted to start reminding you of how we think about growth at Deliveroo. So, mathematically, it's really simple. You've got new customers and you've got existing customers that you're retaining, and you want to increase their engagement by increasing frequency and growing GTV per order. But why has it been hard? I think primarily the reason for that is things got way too expensive in Europe and the UK. And secondly, the industry suffers from too many defects and consumer trust is ultimately undermined when things cost too much and deliveries go wrong. So, we methodically focus on fixing these things. If you look at the middle column, these are our verticals. So, in 2013, we started as a company that worked solely with independent restaurants. Today, we bring the entire high street to your door. And on the right, that's how we improve the experience for our consumers. This is our CVP. So, we think about how do we add great selection, how do we drive good value, how do we engender loyalty, and how do we methodically aim for that flawless delivery experience? So, we focus on what we can control. And as we said at the CME, the macro wasn't straightforward. The consumer recovery has been a bit slower than what we had hoped for back then. But in spite of that, we've continued to grow across all of our verticals. Growth in particular orders accelerated in 2024 as we focused on things that we can control. So, these are our growth initiatives across our CVP and the verticals. So, let's look at some of our initiatives and we'll start with price value. All right. So if we look at this slide, we're -- and this is the framework for the next few slides as well. We're going to talk a bit about our initiative on the left. In the middle, we're going to talk about the outcomes for consumers and merchants, and then on the right, we're going to talk about the focus in '25 and into the future. So, price value has always been central to the CVP. And as I just said, things got really expensive in the UK and Europe, especially in the Restaurant segment. So, we've been working hard to fix that with merchants. One key initiative, this is our Value program. It's active in the UKI and France, where we aim to reduce restaurant markups. We align our interests by offering merchants a better commercial deal and more visibility in exchange for fair prices and great operations. So, we've had thousands of restaurant partners reducing markups and being more specific, meaning if you look in the middle here, sales weighted -- markups in the UK reduced from around 10% to 8%. So you had 200 basis points decline in menu prices since the program's launched. And that may not sound like a big number to you, but it's actually really important because of how it actually translates in the consumer behavior. Obviously, prices -- sorry -- food delivery, consumers are price elastic and our own internal analysis shows that for every 100 basis points increase in menu prices on the platform, we tend to lose about 50 basis points of order volume. So, you can see how bringing down prices by 200 basis points on the platform has a very positive impact on order volume. Now that's an average number. We're actually very proud of the impact this has had for consumers. But if you look below the hood, there's an interesting distribution. We've got a quarter of GTV going through sites with zero markups and half of them going through sites between zero to 10. And our top brands are really embracing it because it's really great for partners too. And in fact, for restaurants that have zero markups and great service levels, they're in a program called Deliveroo's Choice and they see a 15% uplift in GMV when they do that. We've also taken some direct actions too. As I said lately consumer behavior has looked a bit better. So, we've invested in some targeted promotions and we funded this through delivery efficiencies. And going forward, we don't expect investment to continue at this level in the long-term as we improve our promotional efficiency. Scilla's going to get into that in a bit. But I guess at a high-level making sure that fair prices is prevalent. It's a multiyear endeavor. We still have a long way to go, but we think it's a win-win for everyone. And then, of course, one thing we're going to continue to do is to invest in another one of our direct levers, Plus. So, let's talk about Plus now. '24 was a giant year for Plus. We had two really big innovations, both launched in May. So, first, we relaunched our gold proposition in the UK and France. We added a 10% credit back features on orders with a minimum order value. We also launched an on-time promise. And second, we launched our top tier Diamond. So let me first talk about Gold. This is our flagship program. The program got a lot better as I talked about. But what was the output of what happened? Well, paying Gold subscribers in the UK and France increased by 30% and these users have doubled the frequency of our pay-as-you-go users and they're more profitable for us on a CLV basis. So having 30% more of these subscribers in less than a year after relaunch is terrific. And on Diamond, well, I think on previous earnings calls I've actually tried to sell the Diamond program, so I'm not going to actually do that today. But what it is, it's just an amazing program that retains and boosts the engagement of our top, top customers. So these customers will get special restaurants available only to them. They'll always get their order faster. They get a dedicated customer service agent program and they'll get their money back if something goes wrong. It's a really great program for users and what we've seen here is that these users have more than double the frequency of Gold, and they've increased their frequency since joining Diamond which is really impressive because you -- a lot of these guys are ordering 15, 20 times a month as it is. And the program is really driving, I'd say brand love. We've seen Diamond customers post an NPS score 24 points higher than the overall group average. So, some really positive early signs there. So, what are we going to do in '25? We're going to refine our proposition even more. We're going to introduce some more sophisticated subscriber acquisition targeting. We're going to increase some partner funded benefits, and we're going to be looking to expand what we built on through some new partnerships. Plus is -- you guys have heard me talk about a lot. It's really critical to our success as a company. I'm really proud of what the team built in '24, but even more excited about what we're going to do into the future. Let's now go on to delivery experience. So, I think the key to unlocking growth of this industry is as we've said before is really building that consumer trust. So, we talked about price value and the second piece of that is just the flawless delivery experience. And, of course, overwhelming number of orders go smoothly. But this is an imperfect industry. Things can go wrong. And I think often people just say, well, hey, it was out of our control. But as a company, we methodically focus on taking more under our control, making sure we drive a better experience for the user. Because, at the end of the day, let's face it, your pizza's cold, your order got canceled, something like that, or just huge kind of trust-busting experiences. And the way -- sort of the way we think about it is as a user, you start off with a trust pot and good experiences will add to that pot, and then these really bad experiences can deplete it in one go. Right? So how do we make sure that that trust pot's always filled up? '24, our focus was fixing defects that merchants and riders directly cause or at least contribute to you too. So, these are things that are, orders that have missing items or things that are canceled by merchants. Right? But let me give you a sense of how important this is. So, 50% of customers who have an order canceled, okay, so the restaurant says, I'm not going to do it. They don't actually place another order that day. So those are just like lost orders. And then, when an order arrives and it's inaccurate, this obviously costs us money to make it right for the customer. But much more than that, they -- it just significantly depletes the trust pot. And then for those users who have orders -- users who have orders canceled as well, they're much more likely never to order again. Right? So, you've got just a whole bunch of bad stuff happening there. I'm not going to go in all the details on the left. There's a lot of technical detail in there, but wanted to give you a few examples. But the point is that we're methodically chipping away at defects and obviously these reduce costs for us, but they also build up the trust pot and retain users. All right. So what was the impact of what we did? Well, we reduced canceled or rejected orders by 12%. We reduced inaccurate orders by 5%. The benefits of the consumer are very obvious, as I talked about. And then one more thing, which is the thing we talked about at the CME a lot on the last earnings call, which is this incident of consumers not receiving their food at all. We continue to make progress on that and every day is an all-time low on that and really proud of the work that the team's done. And if you look on the right, what are some of the things that we're going to be doing this year. So, one of them is extending receipt scanning to the consumer handover process. This helps reduce mix ups with stacked orders. We're launching auto-accept for large grocery orders -- sorry -- large scale grocery partners. And this is a really cool one. I don't know, some of you have seen at restaurants, there's an NFC sticker with a delivery logo. We now have rider check-in through that when they get to a merchant. So, a lot of good stuff happening. It's one of my favorite areas to talk about. And now let's talk about grocery. So, our grocery business continues to do really well in '24. It's 16% of Group GTV in the second half. Strong double-digit growth throughout the year. How do we do that? Well, that's primarily increased partners and products. We also drove a better consumer experience in the app. There's greater offering -- awareness of our offering. So, on the left you can see kind of what we've done. We've taken some sites up to 15,000 SKUs, which is big. Now what's been the impact of all this stuff? Well, I think really excitingly we saw grocery MACs max increase 20% year-on-year. And I think there's -- this clear societal shift on how people are consuming groceries, right? On demand is a very mainstream product now. It's not a niche like it was four or five years ago. And it's not just young urban people, it's all types of people. So, we see similar levels of grocery GTV penetration for all of our consumer segments at this point. And I think when you think about the platform itself, there's a lot of benefits. Right? So, the vast, vast majority of grocery orders are incremental to our restaurant channel. So, when you see that a customer starts buying groceries on Deliveroo, their frequency overall is up 15%. And what's really interesting is when you see -- when you look at our top customers placing their first grocery orders, we actually see that restaurant order frequency also increase. I think they just take advantage more and more of the platform, becomes more habitual. And then also really interestingly, when you see that people start using grocery, they love it and spend more each year. And that might sound kind of obvious, but when we look at our oldest grocery cohorts, we've seen that they have spent 15% more in '24 than they did in '23, right, which I think is really encouraging. And despite all that, it's a huge opportunity, because 70% of our users haven't yet place the grocery order. So the next few years, we're going to be continuing to improve that selection and coverage. We're going to be pushing midsize baskets, as we talked about, and then we're going to do that through range expansion and better tech on the consumer and merchant side. We'll continue to deliver value for money. We're going to continue to improve service. Delivering groceries is a bit different than delivering restaurant food, in many ways a bit easier, but packages are definitely bigger. And then we've got a whole new bunch of capabilities to drive further growth. We've got better scheduled orders. We've got Deliveroo Express. This is our new white label proposition for grocers and retailers, which we're excited about. So, now we're going to talk about retail. So, grocery. We've been doing this for about kind of five to six years. Retail is something we launched really at the CME. And so that was a little over a year ago. We're continuing to scale this, we're continuing to be excited about this. But '24 was really about awareness, right? So, getting merchants on and -- sorry, it's about driving awareness and selection, right? So, driving new merchants in DIY flowers, health and beauty and pets, expanding to new markets. And on the selection side, we've doubled the number of retail sites on the platform. So, we've launched new partnerships with people like Wilko, B&Q, Perfume Shop, Holland and Barrett, Toys"R"Us and Lush. And we're expanded the number of sites with partners like Screwfix and Boots. And the pipeline's really strong of retailers that we're talking to. And, of course, I talked about awareness. The thing with retail is these things are, I would say, more seasonal, right, in nature. So, figuring out the muscle memory on how do you advertise on Valentine's Day and Black Friday to raise awareness of that proposition. That's something I think the team made a lot of effort and progress on in '24. So I think if you take a step back, I think within five years we've profoundly shifted the landscape of grocery, right, and it's now, like I said, a mainstream product and not a niche product and I am have every confidence that retail will be the same. And so, we're going to continue to build this business. All right. So let's bring this all together. What's been the output of these initiatives if we think about it from a cohort perspective? Well, first of all, we return to order growth in '24, you saw GTV growth accelerating. But let's look at the cohorts, let's look at retention and frequency for a second. And what you can see is that each annual cohort has continued to increase frequency in '24. You can see the inflection point in '23. And when you look at the year-on-year average frequency growth for the more mature cohorts, so call it the 15 to 22, that's around 4% year-on-year growth. Now that's definitely below the average of -- the 10% plus year-on-year per annum, which was, of course, also before COVID, but it is back to growth. It's improving on a year-on-year trend. So, the output metrics on this look good. And if you look on retention, kind of similar story. We've got the quarterly numbers there. So, every quarter that continues to improve. So mathematically the user base is just far healthier than it was two years ago. We're not back to where we want to be, that's for sure. But we look at our initiatives and how this has resulted in just much healthier cohorts, I think that's encouraging. And obviously, these improvements don't just happen, right? They're the result of all these things we just talked about, as well as potentially some macro improvement as well. So, we're going to continue to just relentlessly improve the CVP. We're going to be looking at different future growth opportunities as well. So, on that note, before I finish here, I'm going to talk about one of our really cool initiatives for '25, and that's how we reignite restaurant growth. Okay. So, let's look at the slide for a second. I think sometimes in all the talk about retail and grocery, we forget that the vast majority of our business is restaurants. And if you look at the left side of the slide, the restaurant delivery market in the UK has been in decline. Right? In '24 it was, I think, a better year, generally. We actually need this category to grow faster to deliver on our growth ambitions. Right? Groceries, obviously big; retail is going to be big, but this is predominantly a restaurant marketplace. So why has growth stagnated? Talked about this a lot. You've got prices that were too high. I think that's the number one reason. So we talked about what we've done on price value. Right? So if you look at the middle part, what did we do in '24 to help really grow that Restaurant segment? So, we achieved a lot on the selection side. We signed and renewed many restaurant partners on an exclusive basis. So, you have beloved brands like, Nando's, Wingstop, Joe & the Juice. At the same time, we increase selection by extending delivery AI -- delivery radii to customers. Right? So that shows the more selection in the app that generally improves conversion and order frequency as well. And then looking ahead, we're also excited about something a little bit different. Right? So we're excited about pushing harder in geographic areas where we think we can develop a big CVP differential, and that's specifically in UK, France and Italy. In these areas, this is typically outside of major metropolitan areas. We think we have an advantage on service and selection and we have our loyalty program. So we're going to invest behind this. So I guess, on a summary, if you look at the middle slide, we're going to continue to take share where it makes sense, as we've done. But then if we look at the bit to the left, we also think the restaurant market itself could be a lot bigger. So let me maybe go into a little more detail. So, if you take the UK, there's about 50 billion in home meal occasions a year, but only 2% of them are fulfilled by restaurant takeaway. And if you look at the distribution of demand, no surprise anyone, they're super concentrated as a treat towards the end of the week or on the weekends, right? That's just how the industry set up. So, if you think about it this way, people are very happy to go home on a Friday evening after a long week at work. They treat themselves to a delivery takeaway. But why are families ordering dinner together on a Wednesday night? Why is that? Well, I think the answer is actually pretty straightforward. I think the answer is we don't have the right types of meals available on the platform at the right price. So, in order to unlock, let's say, this type of opportunity, we need to change our proposition by working with our partners to adapt menus to get to the right selection. We need to make sure customers are aware of some of this. And so, our partners are very engaged with this. They see it as broadening their business space, opening up incremental volume, improving kitchen utilization, improving labor utilization when times are also tough for them. So, I think this can be good for the whole industry. Now, this is an investment that we have a lot of confidence in. We're going to continue to gain share as we've always done, but taking a step back, we think growing the market itself is even more exciting. All right. To conclude my section here, we see multiple opportunities ahead to accelerate growth. We remain confident in that mid-teens target in the medium term. As I've talked through today, we've actually made a lot of progress across our growth levers that we outlined at the CME. So we talked about loyalty, price, value, service selection. Grocery business continues to grow really quickly. Made a lot of improvements there. Retail's got real solid foundations. And then, we talked a bit about some of the future growth opportunities ahead. Right? So, further growing share. What does that mean? That really means going harder in geographic areas where we think there is, or we can develop a large CVP differential. And then secondly, just growing the entire market a bit. I think I highlighted a specific kind of use case in the Restaurant segment as an example. So, with that, I'll hand back to Scilla. She's going to talk about profit levers. Thanks.
Scilla Grimble: Thanks, Will. So, you've just heard the progress we've been making with our growth levers and the growth plans we have ahead of us. From an economics perspective, we'll continue to optimize for units and pound notes [ph] rather than rate. So, increasing actual users orders, revenue, gross profit and EBITDA we make, that's how we and the team run the business day-to-day. If we can drive more orders through say Plus, retail or grocery, we'll take the unit economics dilution because it scales our orders, drives more gross profit, drives the volume to scale overheads and the volume to deliver further density benefits to our logistics network. That being said, as you've seen today, we're still targeting the 4% plus adjusted EBITDA margin, but we now think that it will take us slightly longer to get there. That's because the consumer backdrop has taken longer to improve than we anticipated at the time of the Capital Markets event. I've described the 2025 guidance earlier and the investment we're making for future growth. After 2025, we expect EBITDA margin improvement will accelerate. Shortly, I'm going to take you through the levers which give us confidence in that 4% target across revenue, cost of sales, specifically rider logistics and marketing and overheads. But importantly, we also expect the benefit of operating leverage as a result of us moving to a higher growth rate driven by the initiatives Will has just described. So, let's move on to looking at those levers. Over the next few slides, I'm going to talk you through a similar format, setting out what we've done in 2024, what the results of those actions have been, and what our focus is going forward. So, let's start with ads. The bulk of this advertising revenue currently comes from our sponsored positioning in search results products for merchants. We've improved our advertising proposition to merchants, building more guidance to partners in terms of bids and budgets to optimize their returns. We've also provided more targeting options to suit partner needs, whether or not that's optimizing for day part, day of the week or particular customer audiences. We've continued to improve the way we show ads, both by providing a wider variety of ad inventory and through improving the targeting and relevance of ads to our users. And, of course, that leads to a better click through rate. Those enhancements have enabled us to increase partner uptake by 15% year-on-year while still maintaining strong [indiscernible] for our partners. Our merchants are seeing the benefit too, with around 90% of all partners who place an ad returning to place another within a month. And as a result, ad revenues, I've said as a percentage of GTV, increased to 1.4% in Q4 of 2024. So good steps towards our planned 2% plus in 2026. As we look forward, we'll continue to develop our advertiser proposition through enhanced user targeting, providing better campaign insights, more self-serve tooling and new ad formats. We do have more to do on FMCG and non-endemic advertising and we'll be launching a new strategic sales partnership to help us drive greater uptake in this area. So, let's move on to marketing and more specifically promos. The history of Deliveroo and to some extent food delivery had been a focus on new customer acquisition and that's where we first focused on improving efficiency. We've done it by making several improvements. First, we've continued to optimize performance marketing signals and channels. Second, we've implemented a number of fraud prevention measures to ensure that consumers can't register for multiple accounts and take advantage of new customer promotions on more than one occasion. And third, we've optimized and personalized new customer vouchers based on geography and demographic groups. And the output here is that we've made a 16% saving in our new customer promotion spend through improved fraud controls. And alongside that, our more targeted approach has seen an 11% improvement in retention year-on-year as we've attracted a higher quality of customer. When it comes to existing customer promotional efficiency, it's fair to say we have less developed muscle here. So, it represents a significant opportunity going forwards. Initially, for existing customers, we launched broad campaigns that gave us big audiences, but were less efficient and gave us few user level insights. During 2024, we've laid the foundations that we talked about at the Capital Markets event to drive greater efficiency. That's putting tooling into the hands of the marketing teams to both target users and to create different campaign types faster and with significantly less engineering support. So, for example, we're now doing five times more campaigns per quarter since we launched in Q2 2024. So, the teams can now tailor discount depth on predicted individual responsiveness, can tailor the next best action we want for the user, whether or not that's to join Plus or to try a new vertical. And all of that is increasingly driven in an automated way. These more targeted offers have seen about a 15% uplift in campaign efficiency. That efficiency is clearly a positive for us, but it also means that we have campaigns that are more compelling for partners to come behind and co-fund. Finally, having made these foundational improvements, we're now also improving the user experience, ensuring there's consistency across touch points, whether or not that's in the app, out of home, email or push notifications, and building a dedicated deal space in the app. So, overall, we're getting better, but there's still a lot of runway ahead and getting this right represents a significant opportunity. Now to delivery efficiencies. This is an area where we have a good track record of progress, even whilst we've expanded delivery radii to enhance selection for customers. One key driver of recent progress was multi pickup stacking, where riders pick up orders from different merchants as part of one stack delivery and that's unlocked some significant efficiencies, and we've increased stacked orders by 50% in 2024. We've also been able to make our algorithms more accurate, collecting more real-world data which help enhance the way that our inference estimates work. So, in practice, it's things like an order ready button to let partners control their prep times, a rider check-in function to regulate rider arrivals and rider receipt scanning to reduce order mix ups. That's enabled us to achieve a 3% year-on-year reduction in rider wait time in '24, which in an industry where seconds matter, it makes a material difference. So, great progress by the team which meant in 2024 we reduced cost of sales by 90 basis points year-on-year. But we're not done yet. So, let me give you some headlines of what's to come. Firstly, we're going to continue to hone what we already do well, that's using inputs from indirect and direct signals to further reduce rider wait time, and we believe we still have a long way to go on that. Secondly, we use automation to spend our rider incentivisation budgets more efficiently than we do today. Thirdly, we'll think about merchandising lead levers that enable us to deliver a better service experience and more attractive unit economics, while still enabling consumers to find key restaurants and stores. We'll also continue to stack more smartly. That's about what restaurant food we stack, but it's also about taking advantage of stacking in grocery and retail, where the consumer experience is less impacted by stacking and so we'll have higher stacking multiples here. Finally, we see ordering in advance as a growth enabler within both restaurant and grocery. And these schedule orders gives us the opportunity to flatten the demand curve and provide additional opportunities for us to stack orders ahead of time. Whilst all these actions are driving efficiencies into the network that help us manage cost of sales, they're also beneficial for riders. Lower wait times means they can do more orders per hour, increasing their earnings opportunities. Smarter stacking means we can offer riders higher fees for those deliveries versus unstacked assignments and scheduled orders provides the opportunity for us to smooth the demand curve and create a wider potential earnings window for riders. So, plenty of opportunities ahead. So now finally onto overheads. In 2024, we've continued to lay the foundations for becoming a more efficient business. So, what have we done? We now buy and procure much better than we have before. We're introducing better procurement systems, more formalized tender processes and we've entered into more multiyear contracts. Some of that may sound basic, but it's really important as we mature as a business that we continuously improve in these areas and it's had a good impact already. We've saved about 10% on average of spend that we've put through these more efficient procurement processes. We've also started to optimize our location strategy. For example, we now have 30% of our tech org based in our India tech hub and almost 200 people based in our European SMB partner hub in Manchester. Within our care function, we've launched new self-serve tools that provide accelerated service resolutions through automation. And this effective management of our cost base means we've delivered 40 basis points of overheads leverage in 2024, with this being the biggest contributor to our adjusted EBITDA margin growth in the year. But there's more to do and it's a key focus area. Looking ahead, we see several opportunities. As we look at how we support all sides of our marketplace, we see automation and GenAI potential to make interactions cheaper and/or deeper. And as an additional benefit, it also means we'll capture more data about our consumers, partners and delivery through those interactions. We'll also see the opportunity to improve the efficiency of our colleagues, whether that's in engineering, customer support or account management, to name but a few. Some of our actions are going to be about driving cost reductions, whilst others will be about holding costs constant amidst inflationary pressures. But it's critical we do this to achieve the operating leverage we want in order to hit our profitability targets. So, some good steps already made in the right direction, but plenty of opportunities ahead. Bringing it all together then. We've already made some good progress on margin. On an excluding Hong Kong basis, our 2024 adjusted EBITDA margin was 2%. We remain confident in our ability to deliver our 4% target through these levers to deliver ongoing efficiencies and drive operating leverage as we scale. Looking nearer term, as will set out, we're making some focused investments in '25 to drive further growth opportunities. And we, therefore, expect adjusted EBITDA margin progression to be slightly lower than the 50 basis points delivered in '24. But we expect margin improvement to accelerate thereafter. And with that, we'll open the line for Q&A. Over to you, operator.
Operator: Thank you, ma'am. [Operator Instructions] And the first question is from Andrew Ross from Barclays. Please go ahead.
Will Shu: Andrew, can you hear us?
Operator: Just one moment, please. Andrew Ross, please go ahead. Your line is now open.
Andrew Ross: Great. Thanks for that. Morning, everyone. I've got two questions if that is okay. First one is to ask you to give us a bit more detail as to why you're so convinced that the 2026 margin would expand more than what you're guiding to in 2025. Clearly, there are some specific investments in '25, but I guess trying to understand why those wouldn't continue in '26 and why you're so confident on further margin expansion in '26. That's the first one. And then, the second one is I guess a bigger picture one to ask you about some of the changes in the industry dynamics that seem to be happening over the last few months. Like clearly, we've got Meituan stepping up investments internationally. They've had a big impact in Hong Kong. They could go elsewhere in the Middle East. We've got the news of Prosus is trying to buy Just Eat Takeaway. How do you think some of those might manifest in potential changes to your competitive environment? How's that kind of factored into the midterm guidance? And I guess, Will, how does it change your conviction about Deliveroo's ability to drive growth and profitability in the medium term? Thanks.
Will Shu: Hey, Andrew. Thanks. Scilla, do you want to take the first one and I'll take the second.
Scilla Grimble: Sure. So, thanks Andrew. As you've heard, Will just go through, a couple of places where we're specifically looking to lean-in in '25. Broadly they're looking to both grow share and to grow the market, as you heard him describe on restaurant. And that's what's led us to be slightly under the 50 basis points that we printed for '24 in terms of expansion. The nature of that is that you're kind of investing a bit ahead of the flywheel. So, you get a bit of drag in '25 and some of the GTV ramp comes in '26. So if you like, that's a sort of a bit of a one off adjustment there. There's also another small factor that I referred to. So, there's just that drag in '25 as we become fully in the scope of digital services tax in the UK. So that 15 bps of drag that won't repeat effectively in '26. So that's the kind of '25 into 26. But then in addition to that there are two broader pieces which are relevant into the medium term guide. Firstly, clearly, so the obvious is we expect GTV growth to be accelerating towards the mid-teens. You get the benefit of that growth rate feeding through in terms of operating leverage. And secondly, as I was describing in some of my pieces towards the end and as I said at the time of the Capital Markets event, in terms of some of the other kind of cost and efficiency pieces we've been investing earlier in terms of some of the tooling and the capability. We're beginning to see some of that come through, but that was never going to be a purely linear progression. So, it's probably those three points in terms of the confidence in terms of the acceleration into '26 and beyond.
Will Shu: Thanks. So, Andrew, I think that the question is obviously a high-level question. And first of all, I'll just say, all of our medium term targets, all of this has a competitive lens to it. Right? So, clearly, this is a super competitive industry and it has been since I started the company. So, none of that has changed. But obviously things -- we do think about things on a market-by-market basis. Right? And so, the way I would think about it is this. You asked a bit about the Prosus, Just thing and how might that affect us. You asked a little bit about Meituan's entry into the Middle East and obviously what we had to do in Hong Kong. So, what I would say is in the UK, I think the numbers speak for themselves. We have a great differentiated CVP, we have a great team, they execute incredibly well. We're very, very confident in what we're doing there. And we're going to continue, I think just down this path of doing really right by our marketplace participants. I think in Hong Kong, specifically just to address that, if I look at the city of Hong Kong from when we launched this market nine years ago to what it is today, I think it is in some ways profoundly a different city. There's been a lot of demographic shift in Hong Kong, specifically probably around COVID time. And I think that had an impact on our user base. And when we look at the market today, it is a market with the most promiscuous and most discount heavy driven users of any of our markets. And so, when we take a step back and think about the end state of that market, it frankly just was less compelling for us than it was nine years ago. And it was obviously very painful decision and I think our team did a great job there. But those are the decisions we have to make and take a call on. When I think about the Middle East and specifically, I guess, I can talk a little bit about the UAE, it's pretty much the opposite scenario of Hong Kong. We have a highly differentiated CVP. Users in the UAE are the most loyal and least price sensitive of any of our markets. And the team there has executed also really well. So, it's sort of difficult to answer at a high-level. We think about competition peripherally and it doesn't -- competition doesn't set our strategy or daily execution. But clearly, we're aware that it's a very competitive market and we're extremely confident in that mid-teens number.
Operator: Thank you. We will now move to our next question from Luke Holbrook from Morgan Stanley. Please go ahead. Your line is open.
Luke Holbrook: Yeah. Good morning, everyone and thank you for taking my questions. My first question is just a bit on the trends that you're seeing through Q1, because I appreciate you're talking about a Q2 plus impact given some of the tax changes in the UK, but you discussed Q1 going well and I just wanted to get some context behind that, potentially on UK and international commentary basis. And then the second question that I have was just a bit of order stacking. This is something that you've been quite cautious on doing in the past, but you've expanded it 50% year-on-year in 2024. It looks like you're investing more in that direction. I'd just be interested to hear more conceptually on how you think that progresses in terms of just managing the cost per delivery for the consumer, particularly in the UK. Thank you.
Will Shu: Hey, Luke. It's Will. Hey, thanks for the question. I think the trends that we're seeing in the first quarter, and maybe I'll talk a little bit about the UK and Scilla, you can talk a bit about the international markets -- are broadly similar to the fourth quarter. You guys will have seen in the fourth quarter we had an acceleration of growth in the UK. We had more positive trading that is indeed continuing. I just think when you look at that guidance and I think Scilla talked about it on the call, we just don't know what's going to happen in April. Right? You've got National Living Wage going up, you've got NI increases. Clearly some merchants will flow that through to consumer prices. Now what's the impact of that on our business? It's hard to say. I can just tell you the trends look good for now. But we don't want to overshoot here. Right? So, we're going to be in wait and see mode when it comes to April, because remember, this is going to impact restaurants, it's going to impact retailers, it's going to impact grocers. Right? So, our partners will be affected and how that flows through to customer demand is something that we will wait and see. But the current trends are good.
Scilla Grimble: I mean -- and just kind of you building on that, Luke. Exactly as I was saying earlier, we haven't. So, we've seen positive trends as we've -- as Will called out in terms of some of the cohorts. So, retention and frequency, no change there that we're calling out in Q1. Will's described what we're seeing in the UK, similarly internationally. The shape is very similar to what we called out in Q4, but nothing to call out in terms of any change from what we were seeing there. So, the guide for the full year, just to kind of reiterate, is exactly what Will is describing. It's just that general macro uncertainty and in particular the pieces in the UK on NI and Living Wage.
Will Shu: Yeah. And then just on stacking, one of my favorite topics actually. So, thank you for that. Yeah. So, we talked about last year rolling out, multi pickup stacking. So, this is obviously not from the same merchants and different merchants. And what we saw was that actually -- the results did surprise me a bit in the sense that actually operationally there was less of an adverse impact than I would have thought. And part of the reason for that is when you stack from the same restaurant, that restaurant has to coordinate two orders to the same rider and then actually can cause a logistical kind of buildup. So, very positive what we've been able to do there. When I think about the opportunities going forward with stacking though, a lot of them I think will be around retail and grocery. Right? You don't really need groceries in 20 minutes typically. Right? If you get them in, let's say 40 minutes, 35 minutes, you're probably okay. And same with retail. And so, we think about sort of the combination of grocery and restaurants together, I think there's a long way to go in optimizing those stacks more. And then I'd say the other thing that's not necessarily specific to stacking, but I think is really important is continued work on inference and direct signals. Right? Because that's going to give us a lot more confidence in when the order is ready and making sure the rider wait time is really low. So, I don't know. I am positively impressed with what our team's been able to do in '24. And I think there's a long way to go on both stacking and the sort of combined inference and direct signals point.
Luke Holbrook: Okay, understood. Thank you.
Operator: Thank you. We will now move to our next question from Christopher Johnen from HSBC. Please go ahead.
Christopher Johnen: Yes, morning. Thanks also for taking my questions. First one, going back to Hong Kong, I get all the points that you mentioned earlier. I'm just curious. I mean, just two months ago you were basically saying that you would still push on the market, team's doing a really good job. You alluded to the density of the city. I'm just curious what happened in the past six to eight weeks that made you pull the trigger on Hong Kong? Just trying to understand that. And then the second question also with respect to the international footprint. I mean, have you discussed further changes to the footprint? I mean, are there sort of -- maybe you could share what sort of measures or timelines you have in terms of those international markets that are still loss making. Just trying to understand how you decide on potential exits. Whether you consider, for example, the fully loaded figure after group cost or just getting it -- general thinking on the international footprint.
Will Shu: Thanks, Christopher. I wouldn't say Hong Kong was some sort of knee jerk type of reaction. I think we signaled to the market that it's been a drag on growth. And certainly, today you guys have seen the financial impact of this. So, this is something that we've been thinking about for a while. But I think for us the decision isn't -- okay, did we burn XYZ amount of money in eight weeks? It's much more. What is the end state of this market? And in a market where the demographics -- there's been a lot of demographic shift. In a market that is increasingly promotional and price conscious, is that a market that we want to place a bet on? And we made the tough decision that no, but absolutely nothing's happened in the last six to eight weeks that would make us kind of -- drive us to that decision. So, I just want to make that clear. And then I'd say in the rest of the international markets, we're really pleased with what we see. I don't know. Scilla, do you have anything….?
Scilla Grimble: I mean, Chris, nearly all of our markets are now positive contributors. And to the extent that markets aren't, it's a pretty small number at this stage. So, nothing that I would kind of flag there. Of course, when we've looked at -- when we looked at Hong Kong, we thought about it kind of in aggregate, just the kind of Hong Kong performance. And also, we sort of think about the complexity or not of what markets bring to the general group. But I think the key point is, is that initial point that nearly all of the markets are positive contributors now.
Christopher Johnen: That's clear. Thank you.
Operator: Thank you. And our next question is from Giles Thorne from Jefferies. Please go ahead. Giles Thorne, please go ahead. Your line is open.
Giles Thorne: Giles Thorne needs to take his button off mute. Thank you. My first question was on the new commercial architecture and value program. Evidence is it's working well, but to frame how much low hanging fruit remains here. And Will, I think you mentioned this in some of your prepared comments, but can we have a sense of the percentage of GTV passing through those merchants on the new architecture? And is there any limit to adoption by merchants of the new commercial architecture? The second question, and it's a bit of an extension of the first one, is the new commercial architecture a pathway to exclusivity? And what I'm calling out here is the Joe & the Juice news was quite eye catching because they went from being a user of multiple platforms to going exclusive and then we had Nando's extend their exclusivity and this is a reverse of the broader trend. So, is a new commercial architecture contributing towards a different view from merchants on who they use? And then the final question, and I'm very sorry, it's back on Hong Kong and the signaling to Meituan from your decision to leave. Will, your comments on the differences with the Middle East obviously make a lot of sense, but equally your market position in Hong Kong was much stronger than it is in some of your Middle Eastern markets. And I'm thinking of places like Kuwait or Qatar or Abu Dhabi. So presumably your ability to defend yourself in Hong Kong was much greater than it is in Middle Eastern markets. So again, doesn't this signal to Meituan that they can come in and muscle you out within pretty short period of time? Thank you.
Will Shu: Thanks. Thanks, Giles. So, I think a bunch of different questions here. Let me just try to gather my thoughts here. So, on the commercial value program, indeed, yes, it is working very well. I think there's a lot more that we're building in terms of tooling to help restaurants understand the benefit of lower prices. And in addition, it really started as a UK operation. Right? So, this is being extended to France. It will be extended to other markets as well. Although to be clear, the Europe and the UK was where there was the most price inflation and most markup. So, it's probably a little less relevant in some markets, but still a lot to do there. In terms of the exclusive contracts that we've signed, it's just a broad mosaic of different types of activities that we do for our partners. Right? I think probably first and foremost it's just having great account management, and so we've been investing into that over the years and I think that we have a great team on that. And, of course, the commercial arrangements are going to be appealing at all. But these are real partnerships. In the case of Nando's, I think I personally signed them up, I don't know, 11 years ago or something like that at this point when we were a really small company. So, I think there's a lot of two-way trust in a relationship like that. And then in Hong Kong. So, I think your characterization of that, it is more -- it's easier to defend our position in Hong Kong versus a market like the UAE. I don't fully understand that. As I said, our user base in the UAE is the most loyal and the least price sensitive of any of our markets. And I think the UAE is a -- it's a market that if you look under the hood looks very, very different from a competitive lens than you might think. And Giles, happy to get into that with you offline. But the dynamics of the Gulf states, I think the markets are actually quite different. We have a lot of confidence that we're not only going to compete well, but that we're going to continue to win. I mean, these markets are growing very, very quickly and we've got a really, really great CVP. Thank you.
Giles Thorne: Thanks, Will.
Operator: Thank you. We will now move to our next question from Annick Maas from Bernstein. Please go ahead.
Annick Maas: Good morning. So, my first one is on your full year guidance. I'm kind of curious to understand how this has changed pre and post the announcement that Prosus and JET will invest a bit more in the UK. And maybe you've highlighted very much the measures that you will take to drive profitability. But maybe can we go on a geographic basis and see how those investments are going to be impacting the different geographies. I think the next one is on M&A on a wider context Prosus Takeaway. They are now combining. So, if someone bigger would come along, would you be willing to discuss or go on the discussion table or not at all. And then the last one -- and so, it's again one on Hong Kong. But I understand that the market is structurally different and the people are less keen on discounting in the Middle East. But assuming at some point discounting is ramping up, what has -- what is different in the Meituan model that or why are you so confident that that in the Middle East Meituan won't be able to replicate what they've done in Hong Kong and impact the market indirectly. Thank you.
Will Shu: Thanks for your questions. So, I guess, there's almost four questions here. Let me just look at my notes here. So, I think the first question was, did our budget change or guidance change post the JET Prosus? Was that right? Was that the first question? Like so…
Annick Maas: Yeah. After them having announced that they invest…
Will Shu: In the last couple of weeks, the answer is no. I think we see some really great opportunities to invest both to take share and to build the market more in the Restaurant segment. Right? So really, I think those are the things that we're talking about in terms of incremental investments and those have been part of the planning process -- months and months before there was any news of this. I think the other thing I'd say is, I look at our UK business, as I said, terrific momentum, terrific team, terrific CVP. We're very confident in what we're doing and we're just going to keep doing what we're doing. I think your second question, I might be missing part of the first one, but…
Scilla Grimble: The second one I think was how should you think about the investments that we're making in '25 by geo? So, I'd say, Annick, a bit of kind of backwards before I go forward. We've been really pleased -- as Will was describing, we've been really pleased with the progress that we've made on the CVP in '24. And that's giving us, if you like, added confidence to -- as to where we can expand in terms of zones in '25. That's across a number of our different geographies, different countries that we're thinking about that. And then in terms of the opportunity to grow the market, that's more likely to start within the UKI, but we see the opportunity to grow across a number of our different geographies there too.
Will Shu: Yeah. And then your second question, I think is just a high-level question on M&A, which is there's a lot of stuff happening, would we be open to discussions? And the answer is we're a public company. And if someone wants to bid for the company, the Board will consider it. So, just like any other public company. And then finally the question on the UK versus the UAE, I think I have gone into that in a bit of detail. I don't really have any sort of additional points, but very happy to catch -- chat offline about further questions you have.
Operator: Thank you. We will now move to our next question from Lisa Yang from Goldman Sachs. Please go ahead.
Lisa Yang: Good morning and thank you for taking the question. I think just in terms of your margin levers going forward, I mean, you do mention there's more to go with multi stacking and obviously advertising. There's still a lot more to do. I'm just wondering how do you balance the need to increase and push harder onto these initiatives and the potential impact on user experience. So just curious, like, what's been the consumer feedback so far as you rollout those initiatives, and how would you think about just balancing need to improve margin, but how they may affect the user experience? That's the first question. Secondly, it's just on the retail vertical expansion. So, you said you're laying the foundation phase. I think last year you made low teens of investment. So, could you maybe just share like, your thoughts into that rollout in '25 and going forward, like what are the specific KPIs or milestone you'll be looking to share with us so that retail becomes a more meaningful contributor. And could you maybe also share like what level of investments you're thinking about putting in there in '25. And lastly, sorry to go back to the Middle East, but I'm just wondering if you have started to do things differently there, given again potential for new entrants in the region so that you're not just going to just react, but you're also proactively doing things there to protect your competitive position there. Thank you.
Will Shu: Thanks, Lisa. Let me just kind of repeat this back to you. So, the first question is around, I think the logistics opportunity and further opportunity for efficiencies there and what's sort of the downside, I guess to the consumer? Right? Like, what are the gives and takes? Right?
Scilla Grimble: And on ads.
Will Shu: And on ads. Right? So, I think the way -- I think in the logistics space, there's still a lot of win wins that we've either just begun to build or they're coming. Right? So, for example, things like, a rider scanning the NFC code at a restaurant to signal they're there, that's a win-win for everyone, right? Having a better receipt layout is a win-win for everyone. And so, we're sort of at the beginning of combining live signals with inference. And so, I think there's a long way to go there. I think the user experience is probably the thing that I am most focused on. And so, we're very fanatically focused about any sort of negative customer feedback. I think we're very, very far from that. I think on ads quite similarly. We still have an ongoing holdout group on ads that's been going on for quite some time. So, we can closely monitor sort of what is the adverse impact of ad load. And in addition, I'd say, hopefully you will see this soon the ad formats themselves become more engaging and more targeted to the user. So, there's a whole bunch of stuff that we're going to do to make sure that the ad's product is better. In terms of retail, I think the focus for the last year was really on merchant signup and awareness. And I think for much of '25, these are large enterprises that we deal with. The sales cycle is not super-fast sometimes. Right? So making sure we're proving to them that this is something that is going to be really valuable to them. And I think we've done a really good job of that is something we're going to continue to do. So, I think there's a lot of cool stuff happening there. And then finally your question on the UAE and Middle East, I would say that we are -- we've got a strategy that we've been executing there for the better part of nine years that's been really, really great. We have a very, very differentiated CVP, a great brand. We have great service, I think, the best service in the market. But also, it's not that that market is stagnant. Right? We've seen new entrants into that market over the last couple of years. We've had Careem come in, we've had Noon come in. Obviously Talibat's, the biggest player there. And so, from our perspective, despite all of that competition, the market -- sorry -- our business is growing very, very quickly. We've added retail, we've added more grocery. The business is just doing really, really well. And we're very confident in our ability to deliver a better and better experience for the user every day.
Scilla Grimble: Yeah. I mean, just to build on the final one in terms of maybe how we thought about it within the scope of the plan for the year, Lisa. As Will's flagged, this was already a very exciting kind of region for us. And so, we'd already been proactively thinking about what we wanted to do to invest behind further improving the CVP. So that was already kind of in our plans for '25.
Lisa Yang: Thank you. That's very helpful.
Operator: Thank you. And we have time for one last question today from Marcus Diebel from J.P. Morgan. Please go ahead.
Marcus Diebel: Hi, everyone. When I just listen to the answers on competition, I mean, clearly a focus point. It seems that you're saying in the Middle East you will at least have stable market share. It seems in the UK you will grow market share by the sort of like geographical expansion that you highlighted, which suggests that London, you think will remain at least flat, if not higher. Do you expect -- it's the first question. I mean, first of all, is that a fair summary? And then do you expect also market share gains in the other markets in which you operate? And then the second question is just on rider availability. Is there anything to point out? How should we think about the pay going forward? I see obviously the slides, what you said on rider pay, but how shall we think about availability and then also pay going forward? Thank you.
Will Shu: Hey, Marcus. Thanks for the questions. I'm just trying to understand the first one fully. You're saying is our plan in the UK to take share. I mean, I view share as an output of what we do. Certainly, we've seen that happen. So, I expect that to kind of continue and happen. You can see the publicly available kind of growth rates for the two public companies out there. So, I -- and we continue to just love the size of the UK market. It just -- it's bigger and bigger. It's much bigger than we thought, put it that way, versus say like a few years ago. In terms of the UAE, I know, I wouldn't characterize it as we're trying to hold share. I think we're characterizing it as we've got a very differentiated user base, we've got a very differentiated CVP. We are incredibly bullish about the whole region in terms of its adoption of on demand. So, yeah, I think we feel good about both situations. And then in -- sort of rider availability, Scilla, do you want to maybe…?
Scilla Grimble: Sure. So, if I'm -- I'm sure you'll do a follow-on Marcus, if I've got this wrong. But I suppose two things to say there. Firstly, we've still got really good pipelines in terms of rider supply. So, comfortable with where we're at there. Nothing that I would call out. And as we think about rider pay, we always look to try to balance what we're doing in terms of the opportunities to riders to earn more and the efficiencies that we're looking to drive into the business. So, as I was talking through some of that in the prepared remarks, a lot of what we look to do is to make sure that we're minimizing wait time to make sure that the riders have more opportunities to earn more per hour effectively. We had -- we look at stacking again because you can get paid more if you've got a kind of double stack than a single stack order. But as I described, we touched on it very briefly as we look at kind of scheduling kind of through the day, whether or not that's in advance or grocery and retail, it can kind of the load more evenly across the day and again give riders kind of further opportunities to earn. So, kind of lots for us to do that is -- will characterize as sort of a win-win situation for us and the riders.
Will Shu: I think the -- and just one more point on the UAE because I do think it gets lost a bit in translation a bit. Market share data, I think in the Gulf states isn't the easiest thing to come by. And so, we've analyzed a number of different sources, but we think that know in the last 12 months our share in the UAE has gone up. We think we're growing significantly faster than the market. And so, yeah -- and I think that's a result. Again, we focus on the inputs as well as the outputs, but the inputs show that we've got -- we're building a really, really great CVP and that the user base is really loyal and satisfied. So, thank you, Marcus, for those questions. Do we have -- we have any more? Is that it?
End of Q&A:
Will Shu: Okay. So thank you. Thank you all for listening to our annual results call. Thank you to the Deliveroo team for a great '24 and what will be a great '25. And I will catch you -- catch everyone on the next call.